Operator: Good day, and welcome to the CTS Corporation Fourth Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to CTS’s CEO, Kieran O’Sullivan. Please go ahead, sir.
Kieran O’Sullivan: Thank you, Jessica. Good morning. Thank you for joining us today and welcome to CTS’s fourth quarter and full year 2015 conference call. We are disappointed with our full year sales performance. Despite this, we are confident in our strategy and the changes we are driving to position us for future profitable growth on products that sense, connect and move. We made solid progress in several areas. We received 560 million in new business awards, an increase of 16% year-over-year and added several new customers. We successfully completed the transition from Canada reducing our manufacturing footprint to 11 locations. We improved our cash flow from operations to 39 million from 32 million in 2014. We acquired Filter Sensing Technologies, which provides experience, knowhow and IP with an exciting new technology that we expect to be instrumental in driving new product growth in future years. Although lower sales and foreign exchange translation losses created headwinds in 2015, we were still able to improve our gross margin and control our operating expenses to deliver adjusted earnings that were only marginally lower than in 2014. Driving growth remains our top priority in 2016 and we continue to make targeted investments to support this initiative. As usual, Ashish Agrawal, our CFO is joining me on today’s call. Ashish will take us through the Safe Harbor statement.
Ashish Agrawal: I would like to remind our listeners that this conference call contains forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in the press release issued today and more information can be found in the company’s SEC filings. To the extent that today's discussion refers to any non-GAAP measures relative to Regulation G, the required explanations and reconciliations are available in the Investors section of the CTS Web site. I will now turn the discussion back over to our CEO, Kieran.
Kieran O’Sullivan: Thank you, Ashish. Today, we reported our fourth quarter and full year 2015 financial results. Fourth quarter sales were 93.3 million, down 7.1 million or 7.1% compared to the same quarter last year. Sales were lower in certain end markets, including automotive, engineered frequency, and HTD. In addition, foreign currency impacted sales unfavorably by 1.6 million. Sales grew 2.6 million or 2.9% sequentially from the third quarter to the fourth quarter. Full year 2015 sales were 382.3 million, down 21.7 million or 5.4% versus 2014. The drivers are much the same for the full year with lower volumes in automotive, engineered frequency, and HTD. Foreign currency impacted sales unfavorably by 7.8 million. Gross margin improved by 100 basis points year-over-year to 33.2%. Adjusted earnings per share were $0.93 in 2015 compared to $0.97 in 2014. Lower volumes and unfavorable foreign exchange impact due to balance sheet translation were the primary drivers for the decline in earnings. We held adjusted earnings to a small year-over-year decline by improving our gross margin and controlling operating expenses. New business awards were 105 million for the fourth quarter and 560 million for the year. New business awards increased 16% from 484 million in 2014. We also added several new customers in 2015. We continued to win accelerator pedal awards and gained the second new customer in Europe. Our focus on actuator product performance helped us secure additional wins with our existing customers beyond 2020. We continued to add customers for chassis right height product where we now have three major customers and are on multiple vehicle platforms including the Grand Cherokee, Chevy Cruze, Astra, Malibu, Cadillac, Enclave, and Buick Verano. We also expect to be on the next generation platforms. We met our first shipments of hydrophones and expect to begin shipments in the first half of 2016 of our next generation micro dual stage actuator for the HDD market. Additionally, we met our qualification shipment for piezo material for ultrasonic welding application in the fourth quarter and expect annual revenues of 1 million once shipments begin. On our older switch products, we expanded our offering and increased our sales. Finally, we secured a new win in India for a transmission position sensor with shipments beginning late in 2017 and revenues of 1 million to 2 million per year. We have several developments in the hopper as we continue to focus on innovation from next generation actuators, sensing applications, and next generation accelerator pedal solutions to continue to support organic growth. We continue to focus on simplification, and our team successfully completed the Canadian facility transfer. As a management team, we continue to look for further simplification and margin improvement throughout our organization with our clear goal to get to an 80% best cost footprint. Cash flow from operations improved from 32 million in 2014 to 39 million in 2015, and our share repurchases amounted to 18.1 million in 2015. In the fourth quarter, we completed the acquisition of Filter Sensing Technologies. This addition checks two boxes on our strategic plan; products that sense and connect. FST adds a cutting edge sensing technology to our transportation portfolio and allows us to participate in a market that is expected to be 150 million to 300 million in size by 2025 as new filtering solutions gain traction. In 2016, we plan to take the prototypes through our development process to have a customer ready sample to drive new business awards in 2017. Additionally, with this acquisition, we gained a talented team to advance the product development and boost our innovation capabilities. We’re excited by what we can do for our future growth. As you are aware, we have the majority of our cash overseas. Given the uncertainty we have seen with the currency rates in China, we are taking steps to address the situation. Ashish will cover this in more detail. As we enter 2016, our journey to reposition CTS is gaining traction despite the top line sales challenge. We are repositioning the product portfolio to drive profitable growth with products that sense, connect, and move. Hopefully, you’ve had the opportunity to see our new Web site. We look forward to adding more color to our growth as we journey ahead. We continue to focus on developing our M&A pipeline. Our guidance for the full year 2016 sales is in the range of 390 million to 400 million and adjusted earnings per diluted share in the range of $0.95 to $1.05. This excludes foreign exchange impact related to balance sheet translation. I will now hand the call over to Ashish to walk us through the financial results in more detail. Ashish?
Ashish Agrawal: Thank you, Kieran. I will start with the results for the quarter. Fourth quarter sales were $93.3 million, down $7.1 million compared to the same quarter last year. As noted earlier and consistent with prior quarter, sales were soft in certain end markets due to lower volume of older automotive products and weak demand for communication and HDD products. In addition, foreign currency impacted sales unfavorably by $1.6 million as the U.S. dollar appreciated against the euro and RMB. On a positive note, sales grew $2.6 million or 2.9% sequentially from the third quarter to the fourth quarter. Gross margin for the quarter was 32.3% versus 32.9% in the same quarter a year ago. Margins declined primarily due to lower volumes. Operating expenses in the fourth quarter of 2015 were significantly higher than last year due to restructuring charges, primarily related to a non-cash charge for unamortized losses in connection with the wind up of our UK pension plan. SG&A expenses were $13.8 million in fourth quarter of 2015 compared to $15.8 million in the fourth quarter of last year. This decrease was primarily due to continued efficiency gains from restructuring projects, cost containment efforts, and timing of certain expenses. R&D expenses were $6.1 million in fourth quarter 2015 compared to $5.8 million in the same period last year. R&D expenses also grew compared to third quarter of 2015 in line with our plan to continue investing in new products to drive organic growth. Interest expense in fourth quarter 2015 was slightly higher than last year, due to higher debt balances and a slightly higher interest rate. Interest income in fourth quarter 2015 was slightly lower than last year due to lower interest rates in China. In fourth quarter 2015, other expense was $1.7 million. This is almost entirely due to the impact of changes in foreign currency rates on our assets and liabilities. The main factor was the devaluation of the Chinese Renminbi compared to the U.S. dollar. Now, I’ll cover some details on taxes. In fourth quarter of 2015, we took a charge for withholding taxes related to earnings that can be remitted from China in the form of a dividend. In addition, we gave a permanent reinvestment assertion in the UK and Canada where we ceased manufacturing operations recently and booked a tax charge on historical earnings for these locations. The net impact of these items was an increase of $8.8 million in our tax expense for the fourth quarter. We also recorded additional discrete tax items in the fourth quarter that increased tax expense by $2.5 million. As you have seen, the Chinese currency has depreciated considerably in recent months. We will continue to dividend money from China to the extent permitted under local law. We intend to use this cash for potential acquisitions outside the U.S. In the case of UK and Canada where we have given up the permanent reinvestment assertion, it is our intention to bring cash from these countries back to the U.S. This cash will be available to us for acquisitions to pay down debt or for share buybacks. Our fourth quarter 2015 GAAP loss was $0.42 per share. Included in this number is a $0.28 charge for restructuring. This charge is for the write-off of unamortized losses related to the wind up of our UK pension plan and costs related to the closure of our manufacturing facility in Canada. Also included was a $0.34 tax expense for the discrete tax items and cash dividends that I just discussed. Excluding these items, adjusted earnings per diluted share were $0.20 in the fourth quarter of 2015. GAAP earnings were $0.21 per diluted share in the fourth quarter of last year. Included in these earnings were $0.03 in restructuring and related charges. Excluding this item, adjusted earnings per diluted share were $0.24 in the fourth quarter of 2014. Next, I’ll review results for the year. Full year 2015 sales were $382.3 million, down 5.4% versus 2014. Sales were soft in certain end markets due to lower volumes of older automotive products and weak demand for communications and HDD products. Foreign currency impacted sales unfavorably by $7.8 million for the year as the U.S. dollar appreciated against the euro and RMB. Gross margin was 33.2% versus 32.2% last year. Margins increased year-over-year as we continue to achieve efficiency gains and implement material and labor productivity projects. We also realized a substantial portion of anticipated savings from our project to shift production from Canada to lower cost locations. Currency impact on manufacturing costs was favorable as the U.S. dollar appreciated against various local currencies in countries in which we have manufacturing operations. Operating expenses in 2015 were significantly higher than last year. There were two large factors. First, in the third quarter we recorded a $14.5 million charge for anticipated environmental remediation. Second, we recorded restructuring charges related to the transition from Canada and a charge for unamortized losses in connection with a windup of our UK pension plan. The charge related to UK pension plan windup was largely non-cash. SG&A expenses were $57.4 million in 2015 compared to $59.1 million in 2014. This decrease was primarily due to continued gains from restructuring projects, cost containment efforts and timing of certain expenses. R&D expenses were $22.5 million in 2015, which is roughly flat with 2014 as we reprioritized our spend on specific projects. We plan to invest more R&D dollars in 2016 to develop new products and drive future organic growth. We will also spend additional money on development of the sensing technology we acquired through the FST acquisition. Interest expense was slightly higher than last year, due primarily to higher debt balances. Interest income was also slightly higher year-over-year due to higher cash balances. Other expense was $6.3 million in 2015. This is almost entirely due to the impact of changes in foreign currency rates on our assets and liabilities. The main factors were the devaluation of the Chinese Renminbi and euro compared to the U.S. dollar. The effective income tax rate was 43.3% in 2015. This includes several discrete tax items including a $15.7 million reduction in tax expense as a result of our change in treatment of foreign taxes paid from a deduction to a credit, a $5.2 million increase in tax expense related to uncertain tax positions on certain foreign taxes and $8.8 million increase in tax expense related to dividends from China and change in our permanently reinvested assertion related to the UK and Canada, and an increase in tax expense of $3.5 million related to valuation allowance for certain tax items. In 2014, the effective tax rate was 32.6%. Our 2015 GAAP earnings were $0.21 per diluted share. Included in this number is a $0.40 charge for restructuring and a net charge of $0.32 for various tax items that I just discussed. Excluding these items, adjusted earnings per diluted share were $0.93 in 2015. In 2014, GAAP earnings were $0.78 per diluted share. Included in these earnings were $0.19 in restructuring and related charges. Excluding this item, adjusted earnings per diluted share were $0.97 in 2014. Now, I’ll cover a few items on the balance sheet. Cash and cash equivalents were $156.9 million at the end of fourth quarter of 2015 compared to 134.5 million at the end of last year. Our debt balance was $90.7 million, up from 75 million at December 31, 2014. This increase is primarily on account of higher share buybacks. Debt to capitalization was 24.4% at the end of fourth quarter of 2015, up from 20.6% at the end of last year. Our controllable working capital as a percentage of sales was 10.4% in fourth quarter of 2015, which represents a substantial improvement from 12.9% a quarter ago. Cash flow from operations for 2015 was $38.6 million, up 19% compared to $32.4 million last year. Capital expenditures were $9.7 million compared to $12.9 million in 2014. We repurchased 984,000 shares of CTS stock for $18.1 million in 2015. Including the $5.3 million in dividends paid, we returned $23.4 million to shareholders during the year. This concludes our prepared comments. We would like to open the line for questions at this time.
Operator: Thank you. [Operator Instructions]. We’ll go first to Larry Solow with CJS Securities.
Larry Solow: Hi. Good morning.
Kieran O’Sullivan: Good morning, Larry.
Larry Solow: Good morning. On the revenue outlook, so essentially sales are I think growing 2% to 5% in your guidance range, but it’s basically about flat with what your guidance was for '15, so clearly starting from a lower base. I know you had expected mid-single-digit growth in '16, which you are getting of this lower base, but as you look out to '17, do you still see this acceleration coming towards – up to the higher single digits? And part two of that is most of your impact is obviously from legacy products in the automotive side and then some issues in the wireless infrastructure and disk drive market. Do you see all those things combined continuing to sort of impact you going forward?
Kieran O’Sullivan: Okay, Larry, let me try to dissect the different pieces of that. The first piece is, obviously I said we’re disappointed in the revenue performance. We’re working through a transition in the business and repositioning of the company. If you look even on the external side of it, we’ve been going down in automotive in the last two or three years whereas the whole markets have been up. So you can see there’s a trend there that we’re building the backlog to turn that around. We haven’t changed any of our goals for growth. You might say we’re a little bit more tempered in 2016 given the economic outlook out there, but I would tell you as an indication, one of the things in our plan for 2016 is we’re upping our capital spend because we always said we’re going to get mid-single digits growth. Our target is to get to 10% growth with a combination of organic and acquisition and that’s still the path we’re very firmly on. We’re not changing strategy. And to the last part of your question, I would tell you that we obviously see softness, and we’re being very careful to make sure we understand it. Communications has not been good for us. HDD has not been good for us in the last two years. We’re not planning for increased sales in any of those areas, if anything slightly lower in this new guidance that we gave out today. And we’ll just step through doing all the things we said we’d do with the backlog and introducing growth that will come in '16 and further increases in growth in '17 with the backlog we have. I hope that answers your question.
Larry Solow: Absolutely. And just one quick follow up just on – we discussed internal growth. How about external growth? I know you guys have been targeting acquisition and I realize it’s sometimes things just don’t come together or it’s – so it’s not easy to complete acquisitions. With that said, your thoughts – you haven’t been able to really do any significant or material acquisition for a couple of years. Is it price is too high, you have challenges finding exactly what you’re looking for, a combination of the two, any help there would be great. Thanks.
Kieran O’Sullivan: When you look back over the last three years, Larry, the first year was really assessing the company and getting our strengths in place and redirecting the strategy going forward, and then obviously we went through a lot of operational changes in 2014 and at the end of '15 as well. So we started to refocus. We’re working the pipeline. I will tell you we’ve got very clear targets and we continue to work in that area. It’s going to be in sense, connect and move, and we’ve got a very clear priority of technologies. We want to get some regional expansion to strengthen our R&D and we’ve got the right mix of things to complement this strategy. Prices have been high, and I would tell you, I don’t know if that’s going to change because we’ve had economic expansion for the last five, six years, and it’s easy to look back at the last 12 months performance and is it going to be as good in the next 12 months, you’ve got to be careful. We always said we’ll do the right acquisitions at the right price and valuation. So we’re not panicked, we’re going to just do the right things.
Larry Solow: Got it, great. Okay. Thanks very much.
Kieran O’Sullivan: You’re welcome.
Operator: We’ll now take a question from John Franzreb with Sidoti & Company.
John Franzreb: Good morning, guys.
Kieran O’Sullivan: Hi, John.
John Franzreb: I’d like to start with the automotive side of the business. You’ve been exiting certain programs, at least that’s my understanding in 2015. How much did that impact 2015’s revenue, and how much do you expect it to impact 2016’s revenue outlook?
Kieran O’Sullivan: John, we had some older products and we had some products that were going end of life. That’s what we spoke to in the past. We had a range of just a few million. I wouldn’t say anything substantial; 3 million or 4 million range. But the biggest issue was the backlog from prior years wasn’t there, so that’s why we were challenged with that as well. And providing market conditions stay the same going forward, we’re pretty confident that our backlog will be increasing.
John Franzreb: Okay. Just so I understand, Kieran, so 3 million to 4 million of 2015’s revenue was a result of lower end of life product lines?
Kieran O’Sullivan: Yes. Actually, John, let me just add a bit of color to that in total.
John Franzreb: Sure.
Kieran O’Sullivan: If you look at – we said we were down 21 million rough and tough year-over-year. The total automotive impact of that was somewhere just over 10 million, 12 million, and then the balance of that was between HDD and frequency and communications end markets. That’s roughly how I break it up here.
John Franzreb: Okay. I’m just trying to parcel out like how much of that headwind that was older products that obviously will occur again in 2016. That’s what I’m kind of looking for there, Kieran. So as long as we’re on the right page, you’re saying 3 million to 4 million.
Ashish Agrawal: Yes, John, that’s roughly the pressure we face from the older product lines in 2015 that we shouldn’t see in 2016.
John Franzreb: Perfect. Okay. And on the communications side of the business, what’s the biggest headwinds you’re experiencing on that side of the business?
Kieran O’Sullivan: Just the end markets are soft and the demand for the products, whether it’s OCXOs, VCXOs, where we’ve launched some new products, but we’re just seeing the end markets are soft.
John Franzreb: Okay. And are your customers telling you when they want you to ramp up at all or is it still kind of a murky outlook there?
Kieran O’Sullivan: On the whole component side, John, we’ve got several customers working with us on the RF side, on new products where we’re gaining traction. We’re adding new customers and we’re seeing some increases. But just the overall end market is still pretty mixed. That’s probably the best way to answer it.
John Franzreb: Okay. And in your expectations for 2016, do you expect gross margin improvement as a result of a, you’re exiting older products, b, you’ve consolidated facilities, and c, I – my understanding is that by the end of 2016 we’ll have some of these new business awards we’ve been talking about over the years come into play. So would we expect better gross margins in 2016?
Kieran O’Sullivan: John, we’re always looking to improve gross margins but I will tell you we’ve constantly said, hey, we see ourselves in near term to a few years out just in the low 30s and that’s still our presumption. You got to have – even when you launch new products in automotive, there’s pricing pressures in different product lines. So we’re comfortable with the low 30s. We’re slightly above that at the moment you might say. Maybe we’ll do better as we’re always focused on it, but if you’re modeling us, keep us in that range.
John Franzreb: Well, I mean you’ve consolidated facilities so I guess what you’re telling me, Kieran, is that the new programs, the gross margin profile is lower than your current gross margin profile, because you would think with the consolidation you would have a better gross margin profile going forward.
Kieran O’Sullivan: I would say there’s no big change. We have some products that are higher than that, some products that are lower than that. It’s just different mix of products. We’re pretty comfortable with the low 30s on the gross margin. And of course we’re always looking to improve it and if we outperform, it would be great.
John Franzreb: Okay, all right. And one last question. When you talk about or considering Filter Sensing Technologies, the acquisition, sounded like you alluded to the R&D spend will be going up to support growth opportunities in this new IP, intellectual property. How much incremental R&D spend are we talking about in the year ahead; 2 million, 4 million, what are we thinking?
Kieran O’Sullivan: Rough and tough, John, in the range of 1 million overall. That would be where I put it. And that will obviously continue for a period of time, so not just one year.
John Franzreb: Okay. And does that have to accelerate in order to capture that market opportunity you talked about, or is that incremental 1 million steady-state kind of a number?
Kieran O’Sullivan: I’ll tell you we’re having a lot of interest, a lot of engagement on that area and by bringing the two parties together, you’ve got the innovation side of it coming from FST, you got the commercialization capability and the R&D capability and customers that we have and there are new customers that are talking to us. So, as we win programs we said we’d expect the first new business awards in '17. As we add business there, you’d expect two things. Number one, we would actually increase our R&D spend in that area and of course because of the IP and certain things, we may get funding from customers as well. So that’s yet to be played out but it will increase as we went.
John Franzreb: Okay, all right. Thanks for taking my questions. I’ll get back into queue.
Kieran O’Sullivan: You’re welcome, John.
Operator: We’ll now take a question from Ian Gilson with Zacks Investment Research.
Ian Gilson: Good morning, gentlemen. I’ve got a few small questions.
Ashish Agrawal: Hi, Ian.
Ian Gilson: Are we done with the termination of the UK pension plan as far as extra costs are concerned?
Ashish Agrawal: Yes, Ian. For all practical purposes, the UK pension plan transition is completed. We handed it over to the insurance company in December of 2015.
Ian Gilson: Okay. In your currency adjustment, does that include any devaluation of the current reserves held in China or outside the U.S.?
Ashish Agrawal: Yes. In 2015, we recorded the translation impact on both the euro as well as the RMB and the largest part was as a result of the balances, the net asset exposure we have in China.
Ian Gilson: Okay. So having repatriated or paid yourself a dividend from China, would we expect the currency impact to be slightly less going forward?
Ashish Agrawal: That is our expectation. I mentioned in my commentary that we are going to dividend money from China to the extent permitted under the local law. There are limitations on what we can dividend. So to that extent, yes, we will be exposed to a smaller number but there will be still some exposure to currency rate movements.
Ian Gilson: Okay. So we would expect, say, a continuation of a higher tax dollar number as we look into 2016?
Ashish Agrawal: Yes. As a result of moving money out of China, we will see a slightly higher tax rate going forward. On an adjusted basis we are around 30% in 2015 and I would expect that rate to go slightly higher in 2016 in the neighborhood of 31% to 32%.
Ian Gilson: Okay. Looking at the numbers, the tax is accrued on the income statement for almost $13 million, correct?
Ashish Agrawal: It was actually 8.8 million and that relates to the cash that we are moving out of China as well as the repatriation of money from Canada and the UK. The China portion is not the entire 8.8 million. So basically the Chinese earnings will be subject to a 10% withholding tax.
Ian Gilson: Okay. So a portion of the 13 million tax must have been based on some profits outside the U.S., or where does the extra tax come from?
Ashish Agrawal: Ian, I’m trying to get to the 13 million number that you are considering.
Ian Gilson: But I’m looking at the income statement for the three months ended December.
Ashish Agrawal: Okay.
Ian Gilson: And I have an income tax line of $12.974 million.
Ashish Agrawal: Right. So 8.8 of that is the taxes related to China and UK and Canada. And there was an additional charge that we took for some provision on NOLs that we will not be able to utilize going forward. So there was a charge of $2.5 million related to that, which I mentioned earlier in my script. And the rest of it is the normal tax that we would have on our earnings.
Ian Gilson: Okay, okay. As we look in the progression of business during the year and the discussions about the automobile industry coming out of Ford, General Motors and they are looking for a – poorer business climate, is your growth likely to be biased towards the second half of the year?
Kieran O’Sullivan: We’ve modeled the year rough and tough if you look at the automotive markets, I would say North America in the region of 3% rough and tough and Asia; China, China have more like 4%, Europe somewhere in that range as well. That’s how we’re seeing it. I think if you look at North American markets you’ll see that the days on hand have increased up to about 60 days of inventory and we know and we’ve talked about it before that the automotive industry has obviously been on a run for some time and we think it’s still not going to fall off the cliff this year but it’s certainly getting to the point where some transition will happen in the years ahead.
Ian Gilson: I believe that Ford, although they did report an excellent fourth quarter, was talking about 2% growth for this year.
Kieran O’Sullivan: That maybe Ford but when you look at through consensus of all the different customers and market analysis out there, it’s more in the 3% plus range.
Ian Gilson: Okay. Maybe they’re just being conservative. All right. Thank you very much.
Operator: [Operator Instructions]. We’ll go now to Hendi Susanto with Gabelli & Company.
Hendi Susanto: Good morning, Kieran and Ashish. If I may revisit the previous question, what growth profile do you assume in your 2016 guidance as we go from one quarter to another in terms of overall sales?
Kieran O’Sullivan: Hendi, could you repeat your question?
Hendi Susanto: What growth profile do you assume in your 2016 guidance as we go from one quarter to another in terms of overall sales?
Kieran O’Sullivan: I’m with Hendi, okay. We would see just second half being a little bit stronger than the first half overall. And usually we have softness in the third quarter due to shutdowns with OEMs and different things. And as you heard earlier on, we’re putting in some extra capital this year as we prepare for launching products and things we’ve been working in the pipeline.
Hendi Susanto: Okay. And then, Kieran, CTS has been working hard to reposition its growth starting in 2017. How should we think of your business awards comp positions and growth opportunity among the three areas; sense, connect and move? Are they equal in terms of growth opportunity or were there one or some are bigger growth drivers that we can expect in 2017?
Kieran O’Sullivan: I would say that the biggest growth area is sense and it covers a few of the different product lines not just automotive and the other side of it is motion or move, which really refers to actuation and they’re probably the strongest two areas. And the connect is taking a little bit longer.
Hendi Susanto: Got it. And then you mentioned that investment in R&D will go up in 2016. What should we expect on sales and marketing? Should we expect higher investment in that space as well and then a higher dollar amount?
Kieran O’Sullivan: Maybe some very minor increases but typically I think we’ve run just around 4% sales and marketing.
Ashish Agrawal: Hendi, overall, the SG&A expenses are going to be somewhat in line with 2015 numbers, which may be some small increases but nothing significant for your modeling purposes. And R&D expenses, as we talked about, will be higher in 2016. Typically, we have looked at 6%-ish of sales as our guideline for R&D. We’ve been running slightly lower but we are talking about increasing spend for 2016.
Hendi Susanto: And then, Ashish, how much cash do you intend to bring to U.S. and how should we think of the timing and allocation towards share buyback? How do you make that decision?
Ashish Agrawal: Yes, so UK and Canada are the countries where we have given up permanent reinvestment assertion. I’m expecting somewhere in the range of $30 million to $35 million of cash coming back to the U.S. Hendi, the cash will be available to us, as I mentioned in my script, for acquisitions, buybacks, repayment of debt and we’ll continue to look at the best opportunities for us to utilize that cash.
Hendi Susanto: And then when you bring that 30 million to 35 million, how much tax do you expect – like will you be able to utilize NOL against that full amount or should we expect some tax payment?
Ashish Agrawal: So this particular amount will be pretty much mostly non-cash tax charge for the U.S. We have already approved those expenses but they are mostly non-cash as far as it relates to the U.S. taxes. We will be in a zero NOL position going forward. And as we change the assertion of foreign taxes paid from deductions to a credit in the second quarter, we will still not anticipate a cash tax liability in the U.S. in 2016.
Hendi Susanto: Okay.
Ashish Agrawal: Does that answer your question, Hendi?
Hendi Susanto: Yes. Thank you, Ashish. Thank you, Kieran.
Operator: [Operator Instructions]. It does appear there are no further questions at this time. Mr. O'Sullivan, I’d like to turn the conference back to you for any additional or closing remarks.
Kieran O’Sullivan: Great. Thank you, Jessica. Obviously, I just want to repeat again. We were disappointed in our top line performance but we are very much still on strategy in terms of repositioning and growing to the targets we’ve talked about in other earnings calls. And we look forward to giving you an update on the next quarterly report. Thank you for your time today.